Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Under Armour Inc. Third Quarter Earnings Webcast and Conference Call. At this time, all participant are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Lance Allega, SVP of Investor Relations and Corporate Development. Please go ahead.
Lance Allega: Good morning and thank you everyone joining us for Under Armour’s third quarter 2020 earnings conference call. The information being made available today includes forward-looking statements that reflect Under Armour’s view of its current business as of October 30, 2020. Considerations for future events that may impact our business moving forward. Statements made today are subject to risks and uncertainties that are detailed in documents regularly filed with the SEC and the Safe Harbor statement included in this morning’s press release, both of which can be found at our website at about.underarmour.com. It’s important to note that due to on-going uncertainty related to COVID-19 and its potential effect on global markets, we continue to expect material impact on our business results. But considering the duration and extent of the viruses immediate and long-term impact on the global retail environment, content discussed on today’s call could change materially at any time. Accordingly, future results could differ meaningfully from historical practices and results or current descriptions and estimates and suggestions. On today’s call, we may reference non-GAAP financial information, including adjusted and currency-neutral terms, which are defined under SEC rules in this morning’s press release. You may also hear us refer to amounts in accordance with U.S. GAAP. Reconciliations of GAAP to non-GAAP measures can be found in this press release, which identify and quantify all excluded items and provides our view about why we believe this information is useful to investors. Joining us on today’s call will be Under Armour President and CEO, Patrik Frisk; and CFO, Dave Bergman. Following our prepared remarks, we’ll open up the call for questions. And with that, I’ll turn it over to Patrik.
Patrik Frisk: Thank you, Lance. And good morning, everyone, and welcome to our third quarter 2020 conference call. Before we discuss our results, I’d like to pass along Under Armour’s well wishers and the hope that you and your loved ones are staying healthy and safe during the on-going COVID-19 pandemic. For this and many other reasons, 2020 has proven to be a challenging and transformational year for Under Armour. In an uneven global economic environment, we’ve continued to make tough decisions across our business to ensure that our base is stable and we have the agility to return to profitability in the near term. Over the long term we are confident that the actions we’ve taken have created an operating model that we believe can deliver consistent value to our consumer and customers as well as sustainable return to our shareholders. And backed by a stronger foundation, enterprise level disciple and green shoots across many areas of our business, we believe that we are well positioned to compete for premium brand like growth as we work to fufill our mission and vision in 2021 and beyond. In this respect, you’ve heard me speak many times over the past year about our mission, vision and values. These elements unify our global culture that why we are here and what we do, what we do are [Indiscernible] and excitingly as we were to close out this body of work and install the final cornerstone of our re-imagined house we are shifting to become a purpose led organization. In our transitioning from being product driven to purpose led, we didn’t have to go very far to find our purpose. At the end of the section of our distinct strength and then on the intersession with improvement, Under Armour’s purpose is we empower those whose strive for more. For those who show up with relentless persistence day in and day out to train, compete and recover, pushing themselves past the limits of what they thought was possible, and being just a little bit better than they were before. This is why we exist and why Under Armour athletes know we've always got their backs. With 2020 nearly complete, I am proud of our team's work and believe that the critical mass of our transformational challenge is behind us. Our target consumer and operational playbook are well defined and understood. And while I'll leave the financial details of our quarter today, our third quarter results are tangible evidence of the progress we've made with our business. To be sure, we have more work to do, and of course, it remains a highly uncertain environment with a pandemic. So to that effect, we're staying focused on the things we can control. This includes four key areas that will fortify our company and empower our ambitions as a premium athletic performance brand. First, is continuing to strengthen the brand through increased engagement and consideration with the focus performer. Second, our further refinements to our operating model to drive efficiency across all end-to-end processes for our consumers and customers. Third, is prioritizing a direct consumer focused approach to elevate our brand experience and deepen our connection with Under Armour consumers. And finally, through all of these efforts, we're continuing to amplify our discipline around profitability, to drive sustainable shareholder value over the long term. Starting with strengthening the brand, our global brand marketing's platform, and the execution continues to fuel a well-orchestrated singular voice that is driving greater engagement and consideration among folk’s performers. We are successfully activating our assets more effectively across physical and digital touch points, allowing for more personalized activation through a sharper data driven point of view. A couple of areas where this momentum is showing up is in our women's and footwear businesses, two of our largest long term growth opportunities. Taking a moment to touch on each of these, I'll start with a women's business. Within our trained category for the quarter, key innovations like the Infinity bra and Meridian pants showed continued strength, making their case for the most popular Under Armour women's products of 2020. Within footwear, authenticating ourselves as a premium player remains paramount to our long term success. By more deeply understanding an athlete's performance journey, whether it's training, competing or recovering our innovation pipeline and ability to elevate our offerings continue to fuel our product engine. One highlight on the quarter was the launch of our first ever women's specific basketball shoe, “The UA HOVR Breakthru”. To date it's been well received in the marketplace and demonstrates our commitment to delivering innovative performance solutions for the focus performer. We're also very excited about the upcoming launch of the Creata [ph] basketball shoe, which will be the first footwear to feature Under Armour's newest and fourth cushioning platform UA Flow. As the most technical cushioning offering in Under Armour’s history, UA Flow performs precisely as it sounds fluid life and unfailing as it eliminates all distractions for the athlete by using a revolutionary material and streamlined design that removes a typical rubber outsole. In translation, the UA Flow technology allows us to create our most obedient and highest traction footwear yet. UA Flow is also set to launch in our running platform in early 2021 as Under Armour’s most Pinnacle running footwear expression yet. We're very excited about bringing this innovation into running as we believe it will help strengthen our consideration among consumers while elevating our premium performance positioning. And finally, I would be remiss not to mention our connected footwear platform, which a couple of weeks ago hit an incredible milestone surpassing 1 million pairs of shoes that have been connected to our MapMyRun app. This is an accomplishment that we are incredibly proud of as we drive deeper into the intersection of data connectivity, product and experiences. Turning to our second area of focus; on highlight our operating model evolution. Throughout 2020, we have continued to refine how we work to ensure we are appropriately positioned from a strategic, operational and financial perspective for the sized company we are today, while being set up to scale responsibly, along with future growth. All of this of course is centered around an absolute focus on profitability. And with that, our improved go-to-market process and highly disciplined inventory management has afforded us flexibility as we navigate these uncertain times, including dynamic changes in consumer demand. In the third quarter, demand proved to be much higher than we had anticipated, especially in North America. Fortunately, our second quarter carryover product meaning inventory that went unfulfilled due to store closures during that period allowed us to meet part of this unexpected demand. Additionally, inventory sold through at lower than expected discounts and markdowns. These factors helped us post flat revenue results in the third quarter versus our previous expectation of being down 20% to 25%. Looking at the balance of the year, as we stated in our last call, we cut our inventory purchases by about 30% for the back half of 2020. This along with more planned spring product deliveries in early 2021 versus late 2020, and a few other drivers that Dave will detail means we continue to expect top line headwinds in the fourth quarter. That said, our fourth quarter outlook has improved from our July 30 expectation. As return into 2021, we're also focused on prudent marketplace management and working proactively to ensure that we show up in distribution that is brand right, profitable and capable of elevating the Under Armour brand with focus performers. Accordingly, we have begun identifying certain undifferentiated retail partners primarily in North America, to more meaningfully reduce our wholesale footprint starting next year, and into 2022 and beyond. To be clear, wholesale remains a crucial part of Under Armour’s future but as the broader retail landscape continues to evolve, so must we. Switching gears to our third area, which is prioritizing a direct consumer focused approach. Our efforts remain centered around becoming a best-in-class retailer capable of providing a premium Under Armour experience whenever and wherever consumers directly engage our brand. Starting with e-commerce, which continues to be a bright spot this year, we saw more than 50% growth globally during the quarter. And now with the majority of our global e-commerce sites on one scalable platform, we are working to unlock a more robust functionality to power our CRM efforts to help us drive more resonant and personalized interactions with our consumers. In our brick-and-mortar business, we continue to make progress and evolving our store concepts towards more scalable, brand right and profitable formats. While continuing to invest in the capabilities needed to operate as investing class retailer. Across our company, we are holistically embracing a direct consumer focused approach, obsessing every moment along the consumers brand journey to help us make better decisions to drive greater relevance and connectivity. Tying all of these strategies together brings us to our last priority, which is an ability to deliver sustainable, brand right, profitable growth, and therefore returns to our shareholders over the long term. It's well understood throughout the organization that we must empower our earnings potential as one of the most essential elements of our investment thesis. As we sit here today, I believe that our operating models transformation driven by brand elevating strategies centered on the focus performer and an increasingly more appropriate cost structure is strongly aligned with our long term goals. Now, before handing it over to Dave, I'd like to touch briefly on another announcement that went out this morning related to our decision to sell MyFitnessPal platform, which is the largest part of our connected fitness business segment. MyFitnessPal has an impressive record of innovation and strong user growth that has enabled it to sustain its leadership position and scale as one of the world's most popular food and fitness tracking apps. However, as we work to more sharply to define our strategy over the past few years, it became evident that MyFitnessPal did not fully align as a core asset with our target consumer needs, the focus performer. In this regard from an Under Armour perspective, we believe this divestiture sharpens our long term digital strategy by simplifying our consumers brand journey and increases our ability to better harness the power of map MyFitnessPlatform as we work towards a singular cohesive UA Ecosystem. From a MyFitnessPal perspective, this move provides an excellent home for the brand and its passionate teammates with a new owner who will holistically focus on driving that business going forward. And with that, I'll hand it over to Dave.
Dave Bergman: Thanks, Patrik. Considering the current uneven economic environment, all-in-all, I'd say we executed well in the third quarter, as we work to meet higher than anticipated demand. Let's take a look at how we did starting with revenue. Third quarter revenue was flat at $1.4 billion compared to the prior year, which came in better than expected due to higher than anticipated demand across our wholesale and DTC channels. From a channel perspective, our wholesale revenue was down 7%. Lower sales in North America or the primary driver of this decline, despite performing better than our previous expectations, due to higher than expected customer demand. Our direct-to-consumer business increased 17% driven by continued strength in our e-commerce business. Relative to our previous plan, we experienced better than expected traffic trends in our e-commerce business. Our licensing business was down 15% driven primarily by our licensed business in North America. By product type, apparel revenue was down 6% driven primarily by declines in our team sports and train categories. Footwear was up 19% driven by considerable strength in our run and train categories. Finally, accessories was up 23% with all the growth being driven by our new sports masks, which would just started selling in the second quarter of this year. From a regional and segment perspective, third quarter revenue in North America was down 5%, driven by lower wholesale revenue due to on-going impacts from COVID-19 and reduced off price sales. These headwinds were partially offset by strong e-commerce growth in our DTC business in the quarter. In EMEA, revenue was up 31%, driven by growth in our wholesale business, as some shipments with distributors shifted from Q2 into Q3 due to the impacts of COVID-19. Additionally, we saw solid growth in our DTC business. Revenue in Asia Pacific was up 15%, driven by growth in both wholesale and DTC. In Latin America, revenue was down 15%, driven by continued negative impacts from the COVID-19 pandemic. As of September 30, about 80% of locations where the brand is sold had been reopened in this region. However, within DTC, our e-commerce business delivered very strong growth for the quarter. And finally, our connected fitness business was down 6% due to a one time development fee recognized in the prior year's quarter partially offset by higher subscription revenue in the current year's period. Third quarter gross margin was down 40 basis points to 47.9% due to approximately 130 basis points of negative impact from COVID-19 related pricing and discounting and about 20 basis points of negative impact related to product mix, as our footwear business skewed higher as a percentage of total revenue. These items were partially offset by about 60 basis points of supply chain benefits, primarily driven by product costing improvements and 60 basis points of positive channel mix, which benefited from lower year-over-year sales to the off-price channel as well as increased DTC mix. Relative to our previous expectations for gross margin the third quarter, our results were significantly better than expected, as we experienced higher than anticipated demand, which allowed us to sell in and sell through, with considerably less discounting and markdowns than we had initially anticipated. SG&A expense was generally in line with last year’s third quarter at $554 million. In the third quarter, we recorded $74 million of restructuring charges and certain impairments related to long-lived data. As a reminder, we expect to incur total estimated pretax restructuring and related charges under this plan in the range of $550 million to $600 million, primarily in 2020. Year-to-date, we have realized $410 million in restructuring and related impairment charges and $140 million from impairments of long-lived assets and goodwill. We continue to expect about $40 million to $60 million of related savings for the full year. Our third quarter operating income was $59 million, excluding restructuring and impairment charges adjusted operating income was $133 million. After tax, we realized net income of $39 million or $0.09 of diluted earnings per share, excluding restructuring charges, as well as the non-cash amortization of debt discount on our senior convertible notes and deal costs related to the planned sale of MyFitnessPal, our adjusted net income was $118 million, or $0.26 of adjusted diluted earnings per share. From a balance sheet perspective, we ended the third quarter with $866 million in cash and cash equivalents with no borrowings outstanding under our $1.1 billion revolver. And finally, inventory grew 17% ending the quarter at $1.1 billion. Turning to the balance of the year, I'd like to take a moment to provide some color on our fourth quarter expectations. In the fourth quarter, we expect revenue to be down at a low teen percentage rate. This outlook reflects meaningful improvement from the previous expectation that we gave on our last earnings call, driven in part by the more robust consumer demand trends we experienced in the third quarter that have continued into October. With that being said, in addition to on-going general uncertainty around COVID-19, there are a few areas we see as revenue headwinds in the fourth quarter. First, as mentioned on our last call, timing impacts from COVID-19 related to customer order flow and changes in supply chain timing is expected to result in more planned spring product deliveries in early 2021 versus late 2020. We anticipate this change will negatively impact our fourth quarter by approximately nine percentage points compared to the prior year fourth quarter. Additionally, we expect our fourth quarter licensing revenues will be down about 50% due to significantly lower contractual royalty minimums, along with contract settlements meaningful in last year's fourth quarter on a comp basis. Finally, as we continue to manage the marketplace with a team focus on brand right premium growth, lower year-over-year sales to the off-price channel will also serve as a revenue headwind. That said, we now expect off-price as a percent of global revenue to be approximately 4% for the year, which is at the lower end of our previously disclosed range, so excellent progress there. While promotional activity levels in the fourth quarter have improved relative to our prior outlook, we continue to expect them to be significantly higher than last year. As such, we believe this will put meaningful downward pressure on gross margin in the fourth quarter. Now, before transitioning to Q&A, while it is not our typical practice to provide color for the upcoming year on this call, we would like to make a few initial observations about how we see our business developing in 2021. Of course, all this is predicated on our business continuing on the same general path and macros that we've seen most recently, and moving them forward into the New Year. Meaning we're assuming no major retail or other business shutdowns or other adverse economic impacts related to any accelerated COVID-19 flare ups. With that said, from a revenue perspective, there are a few things that we currently anticipate will serve as headwinds in 2021 as we work to drive premium, brand right growth. First, is the sale of MyFitnessPal, which today represents nearly all the connected fitness segment revenue, so following the close of that deal, that revenue goes away completely. Second, as we alluded to earlier, we will begin to exit certain undifferentiated wholesale distribution primarily in North America starting next year. And over the next couple of years, we expect to more meaningfully reduce our overall North American distribution points by about two to 3000 doors, so heading toward about 10,000 doors by the end of 2022, in our largest region. And finally, within DTC, we continue -- we plan to continue to pull back on promotions and discounts to drive our premium brand positioning, which we’d expect will result in some near term implications on top line results, yet continue to support healthier margins as well. Next, when framing up gross margin, and SG&A, it's still too early for specific color. But given our expectations around improving quality of revenue, and our disciplined focused around cost management, we expect to have more agility in the interplay of these line items to manage our bottom line better as the year develops. And with respect to our bottom line, and arguably one of the most critical parts of our turnaround, we have line of sight to delivering slightly positive earnings per share in 2021. In closing, we're proud of the progress we've made. And to reiterate once again, we believe that the critical mass of our transformational challenges is behind us at this point. That's not to say we necessarily expect smooth sailing from here on out. But from a strategic, operational and financial perspective, we believe that we are better positioned to capitalize on our strengths moving forward. With that, we'll turn it back to the operator for your questions.
Operator: Thank you [Operator Instructions] Our first question comes from Edward Yruma with Capital Markets. Your line is now open.
Edward Yruma: Hey, good morning, and thanks for taking the question guys. So Patrik, as you start to, you clearly rebase the business have built a healthier base of business and are now kind of seemingly orienting toward growth long term. Are there particular categories that you think are well suited for this focus performer where we should start to expect some outside growth? And then also, as you introduce this new cushioning technology, is this a product that will be at scale next year or is this a Pinnacle product that will take a while to work through the lineup? Thank you.
Patrik Frisk: Good morning. Yes, as it relates to the categories that we are looking to be our growth drivers so to speak going forward, we still believe that there is a tremendous amount of opportunity for us in our some of our core team sports and men's training categories. But what we've seen this year is that we're very excited about is, is the energy in our, in our women's business. We have a number of different products, both in apparel and footwear that are working very well for us now. Infinity bra, Fly-Buy shorts and Meridian pants, Meridian Infuse, the Machina shoe for women, the Phantom 2, etcetera, etcetera. So, so we see definitely women's continuing to be a big part of our growth and footwear. Footwear is going to continue to help, drive the growth going forward. And as you talked about the platforms, we now have four platforms in the marketplace, and they all play a role. And in terms of how we think about the positioning of the brand. And one of the things that we're very proud over the last three years to have accomplished is really the ability to start to build franchises. And you've seen that through our hub or franchise flow will be another franchise that sits on top of HOVR at the most Pinnacle expression on the brand.
Edward Yruma: Thank you.
Operator: Thank you. Our next question comes from Randy Konik with Jefferies. Your line is now open.
Randy Konik: Yes, thanks a lot. So Dave, you gave us some good perspective on reducing the wholesale doors, I guess by 10,000 by 2022. So just a medium term, what does the -- what should we be thinking about, again, from a mix perspective on revenue by wholesale versus e-com, versus, your directly owned stores? How do we think about that? And how do you think about that impacting obviously it should be a positive margin shift, but the how significant can we expect that to be over the medium term?
Dave Bergman: Yes. I mean, we're not at a point where we're going to give a lot of details as we go into 2021. We're just trying to stay high level. We still got a lot of work to do to fine tune next year. But, we are looking at a company to lead more from a DTC approach, focused on consumer centricity to drive best experiences, unlock potential full price, retail, leverage factory house for inventory, management, etcetera and definitely invest in digital across, own and wholesale partners. I think the one thing that's a little bit tricky for us though, to remember is, even though we're going to be focusing a lot on DTC, the mono-branded stores in APAC are mainly partner owned, and that runs through our wholesale revenue. So from my mix of DTC to wholesale, you may not see a significant change in the coming years, but the actual mono branded stores and kind of full view of the brand in those stores will increase as well.
Randy Konik: Got it? Can I ask one more question? It sounds like Patrik, you're being -- being much more bullish on the winds that you're seeing lately in the women's business. What's kind of been the breakthrough there has it been more marketing or just noticing on the product? And then just relatedly, just separately, I should say, on the mask side, as an owner of kind of these masks, are you seeing isn't masked, also helping to drive attachment within the e-commerce business where you saw a lot of growth in the quarter and how we should be thinking about the mask, at least for the foreseeable few quarters, helping to drive, other channels of distribution and attachment going forward? Thanks.
Patrik Frisk: Okay. Thanks. Thanks, Randy. So I'll start with the women's and then I'll switch over into the masks. With women's, it's the result of what we've done starting at the beginning of this year. Remember, again, 2020 was the first year that we were able to fully deploy our go-to-market strategy across you know, all categories of the brand. But more importantly, with a very strong singular message that we knew was going to resonate with both men and women. On the back of that, we also knew that we had better product that was delivered on time and with the right marketing. So this is really what you're seeing is our go-to-market and really starting to fire and as it relates to women. We have been, as I said before, successful across many different products. So it isn't just one product here or there. It's the entire head to toe approach. And ultimately it is execution through our go-to-market that you're starting to see play up. And it's been consistent through the year so it isn't something that's just started lately it's, it was there in spring, is there in summer, it's now there in fall and we believe it’s going to continue into next year. And, I think for us, women's is definitely one of the growth engines. But it's really nice to see how our brand is now resonating across, both genders. The mask, is an interesting one for us, because we decided very early on that the mask was going to be something that we made for athletes. So our approach to go with the mask and make it a sports mask and actually market it as some as a tool that you use when you're working out has been the differentiator for us. It's a high quality product, that is with high functionality, great fit, and now also with a number of different colors. And the last one that we just released with “The Rock” has been really successful as well, which is more kind of an upscale version if you like the mask. So for us, we're going to be looking at that as a segment in itself -- if you'd like inside of accessories, where we have more products coming out around that. And in terms of whether you're able to convert the people that are coming onto our platforms to buy just the mask, that's one of the things that we are working to do, based on the new e-commerce platform that we have and the capabilities we're building with CRM and loyalty. So big opportunity there for us going forward.
Randy Konik: Thank you.
Operator: Thank you. Our next question comes from Simeon Siegel with BMO Capital Markets. Your line is now open.
Simeon Siegel: Thanks. Good morning, guys. Really nice progress. Great job. Patrik, as, as you as you guys continue to elevate the brand, can you speak to how you're thinking about where your opportunity from here, it doesn't have to be next quarter, but just as you're thinking about where that opportunity lies. And then Dave, along those lines, any help on taking a step back and thinking through the longer term EBIT margin recapture opportunity. Thank you.
Patrik Frisk: In terms of -- in terms of one of the things that we're very proud of this year is that we'll be able to grow our margins in a year where we're taking a lot of revenue out of the top line. And to be able to do that you've got to be able to command a price for your product. And, we're clearly able to do that with less discounting, more premium pricing, more premium positioning. In some of the areas that you're seeing that especially I would say, is in our footwear. This year we've launched it, we started by launching the Mark early in the year, which was a big success for us, our highest price running shoe ever at $150. We actually then came in with two more $150 shoes, the Phantom 2 and the PR 3 Rock Training Shoe, all of them selling through really well. So for us, being able to now compete at that premium level, also in footwear, and in combination with less discounting and more premium across the board is going to help drive everything up for us. And the most important bellwether there, of course, is the margin, something we're very proud of. Maybe you want to add some color on that Dave?
Dave Bergman: Yes. And I think relative to longer term EBIT, we're excited about kind of returning to that long term profitable growth journey next year. And we're going to keep marching that forward. There's, there's a fair amount of opportunities across all fronts, as we think about gross margin, with the business going forward, relative to DTC mix relative to running a much healthier percentage of off-price channel sales. And overall, just continuing to execute so much more cleanly than we may have done in prior years. And then as far as wrapping up this restructuring plan, we're very excited about how deeply we've been able to go, and how well we've been able to transform our operations to be more effective and efficient, and be able to draft off of that more next year and into the next year, a few years after that. So from gross margin percentage to SG&A percentage to revenue, there's opportunities across the board there. So longer term, our absolute plan is, to March that up to 10% plus, which year we hit that is something we'll get to at our next investor day. But we're excited about the progress we're making and stepping into next year.
Simeon Siegel: Great, thanks a lot. Nice job and best of luck for the rest of the year.
Dave Bergman: Thank you.
Operator: Thank you. Our next question comes from Alexandra Walvis with Goldman Sachs. Your line is now open.
Alexandra Walvis: Good morning, and thanks for taking my question. I had another question on the plan to pull out of 2000 to 3000 undifferentiated wholesale doors. And I wonder if you could share with us what percentage of North America revenues those represent and what the profile of those doors? Are they predominantly small chains or larger chains. department stores, what do those look like?
Patrik Frisk: Sure. Hi, Alex. This is Patrik. So for the next couple of three years, we will be it will be work in progress. And it will be across every size of customer, I would say, part of it is larger customers, some of it is the tail that you're cutting. Ultimately, for us, it's important that our brand shows up the right way. And that we're able to drive the brand, the way that we feel as the brand should be driven. And that will be the approach that we take.
Alexandra Walvis: That's very clear. And then my second question is related to e-commerce. You've continued to see strong growth in that channel, it continues to be a priority. I wonder if you could update us on where we are in terms of profitability of that channel, and what further investments need to be made in the offer there?
Patrik Frisk: Yes, I’ll start then I'll hand over to Dave. One of the great things that we were able to accomplish in this quarter I'm very proud of this, we were able to switch over from our aging, very aging, something that we actually put into the market in the early 2000s, our old, homegrown platform onto our new e-commerce platform that we had already been running for a few years in Europe. We did that in July, without missing a heartbeat. And I’m very proud of the ramp down, ramp up to only seven days. The team did a phenomenal job. The benefit of that is that we're now more or less on one platform around the world apart from China. And the second benefit to it is that we'll be able to benefit from, of course best practices across the world, but also an ability to merchandise and ultimately drive our new CRM and loyalty programs on to that platform as well, which is the added benefit. That is something that will start to happen throughout 2021. And we'll ramp as we get into the back half of the year. Dave, do you want to add something?
Dave Bergman: Yes, I'll just add a little bit. I mean, we were super excited with how well the new platform is performing. And globally, having growth over 50% in e-com and Q3 is a great testament to that. So the team's done just a phenomenal job cross functionally, on standing that up and around the world driving forward on that platform. And we expect that to continue to be a strong growth area for us in Q4, as well and as we move into 2021. And to Patrik's point, I think the key investment areas that we've been really, really diving into a little bit last year, a lot this year, and continuing in the next year is on the CRM front, the personalization front, the loyalty program front where we're going to be rolling out various pilots around the world and then expanding it globally. And then also, overall, just really expanding our omni-channel capabilities as well and leveraging income through that also. So a lot of fronts that we're investing there. Digital is a massive area of opportunity for us. So we're excited about it.
Alexandra Walvis: Splendid, thanks for the color.
Operator: Thank you. Our next question comes from Matthew Boss with JPMorgan. Your line is now open.
Matthew Boss: Great, thanks, and congrats on the progress.
Patrik Frisk: Thank you, Matt.
Dave Bergman: Thank you, Matt.
Matthew Boss: Patrik, maybe to circle back on North America and not to beat a dead horse here. On the 20% door count cut that you guys are making and maybe to size it up relative to the $3.6 billion revenue base in 2019. Is it best to think of that revenue base in North America now as a peak? Or how best to think about the market size you're targeting by the end of 2022? I guess really the question is about the sales transfer, you see, as you cut these doors relative to direct-to-consumer growth?
Patrik Frisk: Yes, I think, first of all, I just want to make it very clear, we're going to grow North America. I think that's incredibly important to state. I think the composition of that growth is going to change over time. The exact measurement of what grows and what goes back, we're not prepared, of course, to talk about here today. But we believe that we're going to be able to execute growth with a different mix going forward.
Dave Bergman: And I think, we quoted 2000 or 3000 doors coming down, but and I know you're equating that to a percentage of total doors that we may have at this point in North America. But I wouldn't translate that to a same correlation relative to revenue because there is a big piece of that is that it's kind of a tale of a smaller partner. So -- we’ll give more color on that at our next call as well.
Patrik Frisk: Exactly. And I think I would say the other thing is, of course, everybody on the call here, there is this overhanging hedge for all of us right around COVID. What we're talking about here is, pending any massive flat flare ups of COVID around the world, right. So that's of course, that's of course not known at this point.
Matthew Boss: Great. And then just a follow up on the SG&A front. So you've guided 40 million to 60 million cost savings this year from restructuring. As we look to next year, you've said, expect multi-year cost savings. I guess how should we think about SG&A next year, in terms of flow through versus reinvestment with SG&A dollars next year, be down year-over-year?
Dave Bergman: At this point, we're not ready to get ready to give a lot of color on next year. I mean, we led in here with a little bit of tidbits just on top line to be able to frame things up for you. But as far as you know, more detail down below on the line items. We want to be careful there, it's still early. To your point, we are looking to invest in certain areas on the digital front, on the innovation front, etcetera also with international growth. But the amount of cost savings we're driving out of restructuring plan will be significantly higher next year than the 40 million to 60 million that we're quoting this year. So we will absolutely see, a pretty nice development there as far as SG&A to revenue next year. But whether or not it's going to be flat or grow a little bit or go backwards a little bit we'll leave that for the next call.
Matthew Boss: That's great color. Congrats again.
Dave Bergman: Thank you.
Operator: Thank you. And next question comes from Erinn Murphy with Piper Sandler. Your line is now open.
Erinn Murphy: Great, thanks. Good morning. I just had a question following up on e-com growth up over 50%? Could you just share how that breaks down by region? And then where do you see the digital mix by the end of the year?
Patrik Frisk: Yes. I mean, the e-com growth is really broken down pretty well across all of the regions. I think that, we're seeing pretty healthy growth in every single region. There's not -- there's not one region that's really struggling at all, from an e-com perspective, especially in this current environment with COVID. So we're pretty excited about the investments that we've made there and how well we're moving forward.
Erinn Murphy: And just on the digital mix by the end of the year.
Patrik Frisk: We're not actually giving a full kind of digital mix at this point.
Erinn Murphy: Okay. Got it, understood. And then…
Patrik Frisk: But it would be higher.
Erinn Murphy: Okay. And then in the fourth quarter, it was helpful context. I know, there's a lot of moving parts that you gave, but I'm curious if you can contextualize a little bit more on your comment on the demand improvements, quarter-to-date, particularly given the recent lock downs in Europe. Thank you.
Patrik Frisk: Sure. A couple different things there. I think that when we had our last call, we got to remember back in July, we were still getting our arms around the COVID uncertainties. And therefore we were very conservative in that previous planning. We ultimately saw much better demand than expected, as did our wholesale partners. So it was both, on the wholesale front, and on our own direct to consumer front. So we had the better sell in, better sell through. We were able to use some of the Q2 2020 unfulfilled inventory from the store closures at that point. And also, this actually ended up translating to less than expected cancellations on the wholesale orders. You know even when product was in certain circumstances slightly delayed due to COVID they weren't canceling those orders, which we had anticipated, maybe they would. And that was because again, the sell-in and sell-through that was going well. And we also did so at meaningfully, less discounts and promotions than we originally anticipated. From a regional perspective, the majority of the upside in Q3 came from North America, which we mentioned, but also better momentum than expected an EMEA as well. So all told, as a result, we have also increased our Q4 expectation from what was originally the down 20% to 25% to now down till 18%. So really excited about the momentum there.
Erinn Murphy: Thank you.
Operator: Thank you. Our next question comes from Jay Sole with UBS. Your line is now open.
Jay Sole: Great, thanks so much. I want to ask about the comment that off-price is going to be down to 4% of sales. Can you tell us what off-price was at the peak of whether it was whether 2015, 16 like what percent of sales at off-price represent at the peak?
Dave Bergman: Yes, Jay, this is Dave. We won't give the exact percentage. But, it was it never exceeded 10% in any of those years. So it was below 10. But certainly it wasn't all the way down to the four that we're estimating to land this year.
Jay Sole: And you think that number 4% can go lower as we get into 2021 and beyond?
Dave Bergman: I think there's a probably a little bit more opportunity there. I think we're getting into a healthy spot here this year. Can we can we push it a little bit further next year? I think we probably could. That 3% to 4% range is a pretty comfortable range as we leverage our outlet stores the right way. But make sure we have the right mix of newer products in the outlet stores as well just to have a good, good merchandising experience for our customers. So we don't want to overly rely on the off-price channel. So we think that 3% to 4% range is a pretty healthy spot.
Patrik Frisk: And I would say just add on the back of Dave's. So if you think about that volume from the brand, like Under Armour compared to other people that's a pretty healthy mix we think. It's hard to, to not have some of it, of course, as long as you have a wholesale business. And we think that that 3% to 4% is probably the right, right number for us.
Jay Sole: Got it. Thank you so much.
Operator: Thank you. Our next question comes from Michael Binetti with Credit Suisse. Your line is now open.
Michael Binetti: Hey, guys. Morning, thanks for taking my questions and great job on the quarter. David, I guess just high level as we as we look -- you did over 200 million of EBIT last year. It sounds like you've got a meaningful quality sales initiative here that you've got, the line of sight on. We've seen the impact that can have on margins around the sector. Based on the early planning, you're doing, do you have line of sight back to that level of of 200 million plus of EBIT in the planning period? Or you referenced the 2022?
Dave Bergman: So definitely appreciate the question. We're excited about the future, too. But look, it's early. We typically don't even speak to 2021 on this call, and we wanted to give some color. So we got to be careful there. There's a lot of work still to do. We're absolutely planning to grow in 2021. We're absolutely planning to grow in North America in 2021 and continue to move forward relative to EBITDA dollars and rate. I think we do need to just keep in mind too, as we think about next year, at least, what some of those revenue headwinds would be as we work to drive premium brand like growth. The exits of the undifferentiated retail we talked about, we talked about also less promotional activity on the DTC front. And then don't forget the sale of my fitness platform. So that means that assuming that that's executed late in this quarter, closes late in this quarter, that revenue essentially goes away completely next year. So we got to keep all those things in mind as you size up 2021 growth expectations. But we're excited to have in line of sight to slightly positive EPS and being back on the path to, to long term brand right profitable growth. And we'll give you more details on the next call. And then longer term, at the next investor day.
Michael Binetti: Let me follow that. On the fourth quarter gross margin guidance, obviously very smart to remain as conservative as you can given what's going on. But with third quarter much better than you feared? I'm curious, where you see the pressure, as you look at the quarter. I know some brands said that, I'm sure you see you're doing some of this too. But I think you some brands have said they're taking some actions to start showing the customer, some holiday type initiatives early in October. Are you seeing promotions in the marketplace ramp at all in your categories?
Patrik Frisk: Yes, we certainly are. And as we look forward to closing out this quarter, we do think that the promotional environment is going to be pretty heavy this quarter. A fair amount heavier than it was in Q3, so bigger pressure in Q4 than Q3 year-over-year. We also think that even though we're decreasing off-price sales in Q4, year-over-year, we think the pricing on that off-sells, off-price sales could be challenged based on so many other brands trying to push into that channel. So that's probably a little bit of a headwind and Q4 gross margin as well. Plus on the revenue side, I mentioned licensing, potentially being down 50% year-over-year in Q4. They've done lower MRGs, and some true ups that were in Q4 of last year that we're comping. And that's obviously an extremely high, gross margin piece of business. So those three are kind of the bigger headwinds for Q4 with the promotional environment being the biggest. We'll get a little bit of tailwind from channel mix with DTC and also the lower mix of off-price sales, but also continued product costing benefits that the supply chain has been driving. So, a couple favorable items there, but they're going to be definitely more than offset by the negatives I mentioned, especially the promotional environment as far as our current view.
Michael Binetti: Okay, that's really helpful. Thanks a lot for everything.
Operator: Thank you. And next question comes from Kimberly Greenberger with Morgan Stanley. Your line is now open.
Kimberly Greenberger: Great, thank you so much. Good morning. I was wondering if you can think about team sports, potentially coming back in 2021. Is there any way for us to understand that the potential revenue benefit that that might carry for you? And then secondarily, I wanted to just ask a little bit about the inventory. I think you mentioned you cut fall inventories by around 30%, or second half inventory by around 30%. And I'm, I'm looking at the inventory balance here at the end of third quarter add up 10%. Is that leftover Spring Summer product? And what's the strategy or the plan with any sort of prior season merchandise that you might have on balance sheet? Thanks.
Patrik Frisk: Thanks, Kimberly, I'll start this off. And we'll tag him a little bit here with Dave. In terms of team sports, it's been a -- it's been a really emotional roller coaster, I think for Under Armour there in terms of the support that we've been trying to give to our athletes and teams out there. It's been really, really rough for the athlete going through this whole pandemic, and a lot of the kids out there that are not able to do their sport or weren't able to do their sport. So the whole back-to-school kind of normal, normal team sports. And seasonality of our business has really been thrown off this year. I would say though, that some of it has come back a little bit as we've seen the back half of Q3 and into Q4, but of course and in totality for a season of this back half, and also through a large extent the spring, team sports been really in flux. We are trying, of course to understand what that means for next year. But I think the reality is, nobody really knows. I mean, that teams are still making decisions as we speak around winter sports. And I think it's going to be the same situation when they talk about spring sports later on. So it's something that we're going to be trying to dial in. And we're going to dial it in a little bit later than normal simply because we don't know, how the seasonality of things are going to play out. And I think in terms of inventory, I would just say that the quality of inventory that we have today is good. And I'll let Dave, fill in the blanks.
Dave Bergman: Yes, from inventory perspective, we finished this quarter at 17% up, which is a little bit better than we anticipated, because we obviously had a lot bigger selling and sell through than we anticipated. There is a larger portion that's tied to spring summer product that we couldn't affect in time from the pandemic that was still coming in. And in Q2, we were able to use some of that to fuel the Q3 overdrive, which was nice. We are comfortable, though, with the mix of inventory, with demand versus excess and our ability to utilize the off-price channel to a lower degree. And also, definitely leverage our factory houses for a more brand right approach to dealing with that. There's still a lot of uncertainty out there right now. But we do believe that we'll end the year around 10% growth with inventory. That decision to reduce back half inventory purchases certainly will benefit us as we progress through the quarter. But we feel very comfortable with where we're going to land and being able to address that remaining inventory and a healthy way throughout next year.
Kimberly Greenberger: Thank you.
Operator: Thank you. Our next question comes from Omar Saad with Evercore. Your line is open.
Omar Saad: Good morning. Thanks for taking my question. Nice quarter guys. I wanted to ask, I wanted to ask about the divestiture of the digital assets. Maybe Patrik you can put it in context, how the organization's view of how to use digital technology and how to use data has evolved over the last several years and where the focus is now. And I also would love for you to touch on the new flow cushioning platform maybe give us a little bit more detail. I think it said it didn't need a rubber outsole maybe a little bit more detail around that platform? Thanks.
Patrik Frisk: Sure. Hi, Omar. So first of all the sale of MyFitnessPal is of course something that that we considered a great length, and the whole idea is really that as we get more and more focused and we get dialed in to the focus performer it was clear to us that actually the consumer that was on the MyFitnessPal didn't skew necessarily as strongly towards the consumer that we're targeting. And as our other apps did, and I'm talking about now MapMyFitness and the success we've had there with connected fitness and connected shoe. So the decision was hard, but it's the right thing to do because it also enables MyFitnessPal to get a great home and for that team to be able to grow their business without having to be under Under Armour, so to speak. So, for the, for that team for that business, I think it's a great decision. For Under Armour, it's also a great decision because we can now focus on what we've been intent on doing the whole time, which is building one ecosystem for Under Armour. So for us, that my MapMyFitness will be at the very core of that. And I was just talking earlier about the fact that we just had our 1 million shoe connected. And we continue to see, especially through this pandemic, an incredible gravitation to do that app, and the work that that team has done has been phenomenal. And we think that all the things that we've learned, while we've owned these apps over the last four or five years, has led us to this decision where we now feel that we can accelerate that part of the business and integration to do a better job for the consumer, ultimately, to connect and engage.
Dave Bergman: One thing I'd also clarify an MFP is just that, we anticipate closing that deal late in Q4. So the outlook that we're giving today for Q4 does include a full quarter of full connected fitness revenue. So it is definitely comparable to Q4 2019 just if there was any questions on that. And then Patrik, I think there's a question on flow.
Patrik Frisk: Yes, there is. I would say that with Flow we're very excited. It's right, it's not a traditional shoe, because we don't actually have a rubber outsole on the shoe. So it is actually one unit. That gives us a lot of advantages in terms of weight, but also the performance of the shoe both in terms of cushioning, and we would like to call separation ability is going to be like no other shoe out there. So there's a lot of advantages that we have in weight and flexibility. And in traction that goes beyond anything that we've built before and we think it's going to be a real advantage in certain sports, especially in basketball as you think about separation ability. So, we're very excited about it. Curry's very excited about it. We're going to be starting that product in basketball, as we said, and then we're going to flow it into running in early 2021. And that's also very exciting for us because it gives us a pinnacle technology and running. Not that HOVR isn't doing a phenomenal job for us, but this is really a shoe that will give you superpowers. So we're very, very excited about it.
Omar Saad: Thanks for the color, best wishes.
Operator: Thank you. Our next question comes from John Kernan with Cowen. Your line is now open.
John Kernan: Hey good morning and thanks for taking my question. Congrats on the quarter. Wanted to touch on international, hasn't come up as much. And it was a source of upside surprise for sure this quarter. And peers were gaining some share in EMEA in both AsiaPac or some of your bigger competitors. Wanted to -- wondering, just talked to the demand sensing you're seeing there. I know there was a shift in EMEA that benefited the quarter. But even with that feels like you had a pretty good quarter internationally versus your own expectations, and certainly versus your peers. So how should we think about international in the fourth quarter? And then as we head into 2021?
Patrik Frisk: Yes. Hi, John. This is Patrik. So I'm very proud of the work that the teams have done. I think this strategy is the same, right? So there's a more premium approach for us both in APAC, and EMEA. And it's a very strong focus around the focus performer based on all the work that we've done over the last three years. We're deploying that now into the market with the go-to-market in 2020. And what's really, very good is the fact that the same products that we're marketing across the world are working. So for example, the Machina, it worked across the world. The Phantom 2 worked across the world. The women's Infinity and Meridian pants they worked across the world. So the product teams have done a phenomenal job, making sure that our key stories are really resonating across the world. We've also spent the last few years cleaning up the market in Europe. And the team there has done a really good job, repositioning the brand, doing it from a premium perspective, doing it from a focus performer, head-to-toe perspective in both men and women. And we're seeing now also success in our run category, not just in EMEA but an APAC. So having said all that positive stuff, I would I would say that in APAC, in the back half of the year, we have been conservative in terms of opening partners doors, simply to make sure that we're doing what's right for the brand in this pandemic. So even though we had a great performance, we believe that there is very good prospects for continued growth in the APAC region as it relates to mono branded stores as well as e-commerce of course. But really what you're seeing play out now is a coordinated, orchestrated play with innovation and go-to-market playing to our strengths across the world, and really validating our focus and our approach at a more premium level. So I'm -- what I'm especially excited about, actually across the world is the quality of sales. And that's, really important to us right now. Dave, do you want to add something?
Dave Bergman: Yes, John, I'll just give a little more quantitative color to your Q4 question. When you think about what we mentioned, on the spring 2021 products shipping more in early 2021 versus late 2020. That does impact wholesale in a pretty big way, as we mentioned. And so when you think about international businesses, for us, EMEA in Latin America have a bigger percentage of true wholesale. So they're definitely going to have a bigger negative impact in Q4, whereas Asia Pacific, even though it has a big mix of wholesale, that that wholesale is really more mono-branded stores. So they technically wouldn't have as big of an impact on that spring, summer 2021 timing shift. So just to give you a little bit of color, you probably see more favorable Q4 APAC and more challenged EMEA in Latin America just because of that flow change, as we move through the balance of Q4.
John Kernan: All right, great. Best of luck into your end. Thanks.
Dave Bergman: Thank you.
Operator: Thank you. And our last question will be from Jim Duffy with Stifel. Your line is now open.
Jim Duffy: Good morning, guys. Nice one.
Patrik Frisk: Thank you, Jim. A couple of questions for me. Now first, I'm hoping you can find more color on where do you stand with realigning the cost structure? Seems like there's more to coming in 2021? How much of that Dave is just elimination of the MyFitness talent and [Indiscernible] associated expenses versus incremental? And then Dave, I'm particularly interested in your comments looking forward to 2021 about the greater agility on the expense structure. Can you elaborate on what you mean by that?
Dave Bergman: Yes Jim, I guess a couple things. One, I commented that relative to our restructuring plan, we expect to be able to execute through the majority of that, and most of those charges in 2020. However, there probably will be a little bit of spill over of that into Q1, and maybe a tiny bit into Q2, of next year. So that's part of it, and how well we execute and the timing of that does impact the ultimate savings of those activities. But then across the board, we're really, really digging deep here. And understanding each of the details of our cost structure. We've been benchmarking it against three different providers to be able to really triangulate what would be the best goal for us to go after in each of our different spend areas. And we're going to continue to leverage that in the discipline into next year. So no, I'm not necessarily saying you'll see SG&A go backwards significantly next year. But you will see us continue to prioritize where we spend, and really understand the return on those spends. And be very, very diligent in where that goes to be investing in the areas for long term profitable growth. And that's, that's really what we're excited about. And I think when we, when we talk about the agility for next year, it's really just stepping back and understanding that, we have done so much transformational work over the last few years. And we're finally getting to the place, where those final pieces are coming together. And we can start to leverage that operating model in a really solid way going forward. And that's what we're really excited about. And so that that does speak to the SG&A and improving significantly from an SG&A percentage of revenue next year. But also, as far as gross margin, we continue to see the benefits of what the incredible supply chain team has been doing, relative to working with our vendors. And with volumes increasing, being able to drive better costing there, better visibility, the skew rationalization work that we've talked about over the last year or so is continuing to come to fruition and in better costing, and then continued DTC mix. And then also, we still feel longer term, APAC is going to be one of our higher growth regions. And APAC has a higher gross margin and a higher operating or EBIT rate region for us as well. So a couple different things going on there. But we think that we're going to be able to be more nimble, more agile, agile, and we've done a ton also to solidify the balance sheet and be able to drive through there. So we've got a lot going for us as we step into 2021.
Jim Duffy: Just one more quick question on the balance sheet. Can you speak about plans for use of proceeds from the MyFitnessPal disaster and cash flows and how are you thinking about reducing debt balances?
Dave Bergman: So we're, we're going to hold back on that until till the next call. We've got a lot of different things that we're working through, but at a high level obviously, we were planning to end the year in a very favorable position from both a cash on the balance sheet perspective, and zero continuing to be outstanding on our 1.1 billion revolver, and then how we move forward relative to that cash and use of that cash. We're going to wait and discuss more on the next call.
Jim Duffy: Thank you guys for the update.
Dave Bergman: Thank you, Jim.
Patrik Frisk: Thank you, Jim.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.